Operator: Welcome to the Full Circle Capital’s Second Quarter Fiscal 2013 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following management’s prepared remarks, we’ll hold a Q&A session. (Operator Instructions) As a reminder, this conference is being recorded, Tuesday, February 12, 2013. I would now like to turn the conference over to Stephanie Prince. Please go ahead, ma’am.
Stephanie R. Prince: Thank you, Glenn, and good morning, everyone. This is Stephanie Prince from LHA. Thank you for joining us for Full Circle Capital Corp.’s Second Quarter Fiscal 2013 Earnings Conference Call for the quarter ended December 31, 2012. With me this morning is John Stuart, Full Circle’s Chairman and Chief Executive Officer; and Bill Vastardis, Chief Financial Officer. If you’d like to be added to the Company’s distribution list, please send an e-mail to info@fccapital.com. Alternatively, you can sign up under the Investor Relations tab on the Company’s website. The slide presentation accompanying this morning’s conference call can also be found on Full Circle’s website under the Investor Relations tab at fccapital.com. Before I turn the call over to John Stuart, I’d like to call your attention to the customary Safe Harbor statement regarding forward-looking information. Today’s conference call includes forward-looking statements and projections, and we ask that you refer to Full Circle’s most recent filings with the SEC for important factors that would cause actual results to differ materially from these projections. Full Circle does not undertake to update its forward-looking statements unless required by law. To obtain copies of the latest SEC filings, please visit Full Circle's website under the Investor Relations tab. I'd now like to turn the call over to John Stuart, CEO of Full Circle Capital. John?
John E. Stuart: Thank you, Stephanie. Per our custom, I'd like to start with a brief review of our strategy for those of you who are new to Full Circle. Please turn to Slide three on the presentation accompanying the webcast. Full Circle Capital Corporation was formed to continue and expand the secured lending business that we started in 2005. Since that time, we have executed more than $276 million in senior secured loans to 54 smaller and lower middle market companies. Our investments typically range in size from $3 million to $10 million. We focus primarily on senior secured loans and stretch senior secured loans, also referred to as unitranche loans, which combine characteristics of traditional first lien senior secured loans with second lien or to a lesser extent, subordinated loans. Generally, this type of loan provides a higher interest rate than traditional first lien senior secured loans. This structure, protects us by providing us a greater control and security in the primary collateral of a borrower, allowing us an enhanced element to downside protection should a problem develop. For our borrowers that is a key component to our strategy to deliver efficient, one-stop flexible debt solutions. The one-lender efficiencies also allow us to effectively compete against more traditional lenders and other capital providers in lending to lower middle or smaller market borrowers. Additionally, many of our loan positions include warrants to purchase equity, success fees or other equity-like enhancements, which we may recognize over time. Approximately one half of our portfolio investments include these features. And from time to time and on a more limited basis, we may invest in equity alongside sponsors in our borrowers as seen in the past quarter. On slide four, we provide details of our second quarter results, our net asset value was $8.03 per share at December 31, the decrease from the first quarter level primarily reflects the repositioning of one-credit in our investment portfolio, which I’ll detail in a few minutes, as well as our higher share count resulting from the equity raise that was completed in November. In the second quarter, Full Circle recorded net investment income of $1.5 million or $0.22 per share. Net investment income per share was up 10% on a higher share count from the first quarter ended September 30, reflecting both higher fee income and continued growth in our portfolio assets over the last several quarters. This is the second sequential increase in net investment income from $0.17 in the June 30 quarter, just $0.20 in the September 30 quarter to $0.22 in the most recent quarter. On February 5, the Board of Directors declared the monthly distributions for the fourth quarter of fiscal 2013 at $7.07 per share maintaining our quarterly distribution rate of $0.231 per share and our annualized rate of $0.924 per share. Our annualized distribution equates to 11.9% yield based on the February at closing price of $7.76. As a reminder as a BDC, we are required to distribute between 90% and 100% of our distributable income over the course of the year. The record date and payment dates for the next three monthly distributions are detailed on slide four as well as in the earnings release we issued last night, which is available on our website, if you didn’t received it. Slide five, details the portfolio activities during the second quarter and subsequent to quarter-end. During the second quarter, we funded $5.5 million to new and existing borrowers. We originated a new investment in SOLEX Fine Foods, a provider of specialty foods in New York City and the surrounding areas. Of SOLEX’s total senior term facility of $5.6 million, we invested in a $3.9 million first-out senior secured position, while an another lender, invested $1.7 million below us in the same facility. We have a rate of LIBOR plus 12.25%, we also invested $250,000 in common equity and received warrants to purchase additional equity. We also increased the Global Energy revolver by $1 million as the Company’s fourth quarter sales on the contract exceeded our initial expectation during underwriting last quarter. We quickly expanded the line to support the Company’s growth requirements. The facility is collateralized by accounts receivable on inventory as important, we have seen strong collections on our advances since expanding the line. Lastly, we advanced $600,000 in additional term debt to iMedx, an existing borrower. This capital, combined with additional equity investment by the Company’s private equity sponsor, was used to fund iMedx’s acquisition strategy. On the last call, we spoke about the extension of maturity date of Ygnition, which have signed the letter of intent for the sale of most of its assets. At the end of the quarter, Ygnition sold substantially all its assets to Access Media 3 and the New Media West, which is an affiliate to Full Circle and Access Media 3. In exchange for its secured interest in the Ygnition assets, we received both equity interest in New Media West, and a $5.8 million five-year note bearing interest at 9%, while we recorded a net loss in the position, New Media West has been organized to take advantage of a much improved cost structure designed to maximize free cash flow from the benefits AM3s operating scale. This repositioning of our exposure is focused on optimizing the long-term value of the assets while minimizing future risk, we believe that this outcome may best preserve our investment, and that our control over the investment has been greatly enhanced directly position. To the end of the quarter we received a full payoff in The Selling Source, it won’t be made back in 2007. This resulted from the amortization up there of 12% senior secured term loan payoff as part of the remaining $2 million of principals plus interest in fees. As part of The Selling Source its consolidation of its remaining debt capital we invest $4 million in the new senior secured term loan that bears interest in 2017. We currently have a number of good credit opportunities in our origination pipeline as borrowers continue to be attracted to our flexible unitranche lending solutions; many of these opportunities are showing good asset collateralization with attractive debt to cash flow levels. With the additional capital, we’ve raised last November we have the flexibility to selectively go after these opportunities. Slide six details the metrics of our investment portfolio, which remain broadly consistent with prior periods. At December 31, our portfolio totaled $77.6 million compared to $75.5 million at September 30, the largest in our history. We now have debt investments in 18 portfolio companies with an average investment size of $4 million. The weighted average interest rate in the December quarter is 12.5%, which given the turnover of older loans in the growth of the portfolio over the last two years is now more reflect of the current environment. We have no loans on non-accrual status. First lien secured loans accounted for 88% of the portfolio in the second quarter, with floating rate loans now making up 84% of the portfolio, both of these metrics continue to be among the top tier in the BDC universe. Our loan-to-value ratio is 59% at quarter-end down from 62% in the prior quarter and still within our targeted range. And we continue to receive 100% of our interest income in cash unlike many of our peers. I’d now like to pass the call over to Bill to start us for discussion of our financial performance in the second quarter.
William E. Vastardis: Thanks John, please turn to slide seven, which provides an overview of the second quarter financial highlights. Total investment income was $3.1 million compared to $2.8 million in the first quarter, a 11.8% increase. This includes $2.6 million in interest income for the second quarter, even with the first quarter level. Fee income from origination activity and other sources is included in investment income and fluctuates from quarter-to-quarter. In the second quarter fee income totaled $453,000 compared to $160,000 from the first quarter. The increase was driven by an exit fee from our loan to The Selling Source. Net investment income was $1.5 million or $0.22 per share compared with $1.2 million or $0.20 per share in the first quarter, and $1.1 million or $0.17 per share in the fourth quarter. The second quarter increase of 18.3% in absolute dollars is due to the higher level of portfolio investment, and the greater fee income that was generated in the second quarter. The weighted average share count in the second quarter was 6.7 million shares compared to 6.2 million shares outstanding in all prior periods since we went public. We recorded $0.20 per share of net unrealized gains and $0.49 per share of net realized losses primarily related to the repositioning of the Ygnition investment, which John have discussed. As a result, we’ve recorded a net decrease in net assets resulting from operations of approximately $400,000 or $0.06 per share. Net asset value per share was $8.03 on December 31, compared to $8.51 on September 30, for a variance of approximately $0.48; $0.31 per share of this variance reflects in large part of the repositioning of the Ygnition investment, and the remaining $0.17 per share reflects the increased share count associated with the recent equity offering. Please turn to slide eight, which highlights the important balance sheet items. On December 31, our total assets were approximately $105 million. This includes total investments of $99.6 million as fair value. Excluding our U.S. T-bill position of $22 million, our investment portfolio totaled $77.6 million. Total liabilities were approximately $44 million; liabilities include a payable of $23 million for the U.S. T-bill position, $3.4 million outstanding in senior unsecured note, and an outstanding balance of $16.6 million on our $35 million revolving line of credit. I’ll now turn the call back over to John. John?
John E. Stuart: Thanks, Bill. We’d now like to open the call up for any questions. Operator?
Operator: (Operator Instructions) Our first question comes from the line of Mickey Schleien with Ladenburg.
Mickey M. Schleien – Ladenburg Thalmann & Co. Inc.: Good morning, John. Just wanted to get a sense from you on the tone of the market within which you are competing, generally what we are hearing is, that there are more liquid markets were pretty frowzy in the fourth calendar quarter, that some of that tone has started to sort of trickle down to the less liquid market. So I’m curious whether you’re seeing that impact the sort of deal structures in terms of spreads and covenants that folks are asking for busiest in making it more difficult for you to close, or is it a situation where given the Company size relative to the market, you can still be selective and find deals that are appropriate risk return for you and your shareholders.
John E. Stuart: That actually is a good question and something we’ve touched on in the past, and one of the reasons why we like our end of the market. The broader market definitely have competition and pricing pressures ebbs and flows, whereas in our end of the market, really businesses with EBITDA from $2 million to $10 million really, $2 million to $7 million, we don’t really see as much pricing pressure from variability in terms of terms and structures. And certainly we are at our size, we can be very selective our deal pipeline is very strong right now, we have couple of transactions that are signed under term sheet, we expect another one pretty soon, obviously I always caveat that saying that that doesn’t mean it’s done until it’s done, but we are seeing good opportunities, as I said in the call in the prepared remarks, good debt to cash flow levels as well as our asset collateralization, which we’d like to have for a good portion of our loan exposure. So the answer is no, we haven’t really seen much pricing pressure, I’ve said in earlier calls that where we do see competition is from some mezzanine funds at SBIC, they end up sort of under pricing their risk. But that’s for them again our way to compete is to provide a single stop solution providing a revolver all the way down to term facility. So the answer is no, we really haven’t seen much pricing pressure, and we hope to be back soon to you guys with evidence of that.
Mickey M. Schleien – Ladenburg Thalmann & Co. Inc.: John, you just mentioned competition from the mezzanine funds, the commercial banks are under so much pressure, regulatory pressures making life hard for them, and it’s hard for them to generate the source of returns if they really want, are you seeing at the edge any increase, interest or actual competition perhaps from some regional banks obviously the money center banks are not going to play in this space, but are there any small banks out there that are sort of nibbling at the edge or not yet?
John E. Stuart: Not under our structures, but sporadically we’ve seen some off the run pricing I guess, risk taken by some of the local regional banks. clearly on the ABL side our exposure that’s where they are very aggressive.
Mickey M. Schleien – Ladenburg Thalmann & Co. Inc.: Yeah.
John E. Stuart: But we compete against that by different structure, not sure it’s on rate, but yes, you will see from time-to-time, some local regional bank coming in, but not on a holistic basis.
Mickey M. Schleien – Ladenburg Thalmann & Co. Inc.: Understand.
John E. Stuart: I can’t say categorically, we’d see that.
Mickey M. Schleien – Ladenburg Thalmann & Co. Inc.: Okay, I appreciate your time. Thank you.
John E. Stuart: Thank you.
Operator: Our next question comes from the line of David Miyazaki with Confluence Investment Management. Please go ahead with your question.
David B. Miyazaki – Confluence Investment Management LLC: Hi, good morning, John.
John E. Stuart: Hi, Dave.
David B. Miyazaki – Confluence Investment Management LLC: A couple of things where would you, if you could just kind of remind us where your ideal leverage number is, and how does that compared to, which you are able to utilize your credit facility in the advance rates that they are offering?
John E. Stuart: Yeah, as you know in our current facility, we actually have a pretty high advance rate that we never utilize, which is good, it’s actually more than that which we need on accounts. We have a $35 million facility, we have about approximately 16, 17 drawn on it, obvious we have revolvers, so we believe that we have about, we have revolvers so to reserve some capital. So we have about $14 million to $15 million of funding capacity right now. I think in terms of where we want to be maxing out our leverage line at basically 1.5 to 1.75 leverage, and that’s obviously if we got up to the upper end of that range, we’d be watching very carefully on our liquidity, but that’s where we like to be. And a lot of that also would depend upon composition of loans in the books, what our unfunded commitments are on the revolvers as we do up to reserve for capital on that. One of things we have been doing recently and in some deals is actually charging a not so much an unused fee, but a minimum usage fee, which has been very, very helpful to us, because we don’t want to be siting on a lot of unemployed capital.
David B. Miyazaki – Confluence Investment Management LLC: Is that usually at a positive carry to the unutilized fee that you use on your own facility?
John E. Stuart: Yes, I hope our vendors not listening to that.
David B. Miyazaki – Confluence Investment Management LLC: All right. Also I wanted to just review at you sort of the discussions and thoughts around your equity issuance, and its dilution to your net asset value. I think you and I’ve talked a little bit about when you go through periods of time, when dividend is in excess of your net income, and you’re effectively having your return of capital issue, and then to turnaround and sort of do the opposite, but then equity, how do you balance that capital allocation decision on your balance sheet.
William E. Vastardis: I mean this is obviously we do a lot of work on modelling out where we expect the business would go, and the portfolio to go, we took advantage what we thought was a good time in the market, if we hadn’t raise the money we today we’d actually be effectively add a capital, and maybe have to deal for one more transaction, and the idea here was that we all had and speaking with the Board was it, we obviously if it is small deal, we didn’t want to do a huge deal for a number of reasons that head on what you’re asking, but what this would do, is allow us further diversify the portfolio grow the portfolio as well as set the stage for further growth both on the portfolio side, but also quite frankly on the debt funding side.
David B. Miyazaki – Confluence Investment Management LLC: Okay. Thank you very much.
John E. Stuart: And look Dave as we said we want to close that gap this quarter we came pretty close to closing the gap, what we will look to in the next quarter or so is the higher investment level, and hopefully as I said earlier, we’ve got some things that we were working on. They all of them may close some of them may close or none of them will, but we are confident that we will be back to you guys within interim timeframe where we’ll have some news for you on that front.
David B. Miyazaki – Confluence Investment Management LLC: Yeah. I appreciate that John, I mean we’ve all seen a lot of the companies in the industry, do you think that are not necessarily immediately accretive to earnings against the backdrop of dilutive equity offerings, and it kind of gets wrapped up in packages something that will ultimately be accretive and many times it doesn’t actually manifest itself that way. So I always want to check in future thoughts are on that issue.
John E. Stuart: Okay. Welcome for the dialog in that over time.
David B. Miyazaki – Confluence Investment Management LLC: Okay, thank you.
John E. Stuart: Yeah.
Operator: There are no further questions at this time. Please proceed with your presentation or any closing remarks.
John E. Stuart: Thank you everybody. As I usually close by saying that, we’re open to as I said to Dave just a minute ago, further dialog, we’re available to answer any questions that anybody has and clearly, we look forward to getting back to you with continued progress on the portfolio and the business. Thank you.
Operator: Ladies and gentlemen, that concludes your conference call for today. We thank you for your participation and ask that you please disconnect your lines.